Operator: Greetings, and welcome to the Reliance Global First Quarter 2023 Financial Results and Business Update Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. Please note this conference is being recorded. I will now turn the conference over to your host, Ted Ayvas, Investor Relations. Ted, you may begin.
Theodore Ayvas: Thanks, Paul. Good afternoon, and thank you for joining Reliance Global Group's 2023 first quarter financial results and business update conference call. On the call with us today are Ezra Beyman, Chairman and Chief Executive Officer of Reliance Global Group; and Joel Markovits, Chief Financial Officer of Reliance. Earlier today, the company announced its operating results for the three months ended March 31, 2023. The press release is posted on the company's website, www.relianceglobalgroup.com. In addition, the company will file its quarterly report on Form 10-Q with the U.S. Securities and Exchange Commission as well, which can also be accessed on the company's website, as well as the SEC's website at www.sec.gov. If you have any questions after the call or would like any additional information about the company, please contact Crescendo Communications at 212-671-1020. Before Mr. Beyman reviews the company's operating results for the quarter ended March 31, 2023, we would like to remind everyone that, this conference call may contain forward-looking statements. All statements other than statements of historical facts contained in this conference call, including statements regarding our future results of operations and financial position, strategy and plans, and our expectations for future operations are forward-looking statements. The words anticipate, estimate, expect, project, plan, seek, intend, believe, may, might, will, should, could, likely, continue, design, and the negative of such terms and other words in terms of similar expressions are intended to identify forward-looking statements. These forward-looking statements are based largely on the company's current expectations and projections about future events and trends that it believes may affect its financial condition, results of operations, strategy, short-term and long-term business operations and objectives and financial needs.  These forward-looking statements are subject to several risks, uncertainties, and assumptions as described in the company's Form 10-K filed with the United States Securities and Exchange Commission on March 30, 2023. Because of these risks, uncertainties, and assumptions, the forward-looking events and circumstances discussed in this conference call may not occur, and actual results could differ materially and adversely from those anticipated or implied in the forward-looking statements. You should not rely upon forward-looking statements as predictions of future events. Although the company believes that the expectations reflected in the forward-looking statements are reasonable, it cannot guarantee future results, level of activity, performance or achievements.  In addition, neither the company nor any other person assumes responsibility for the accuracy and completeness of any of these forward-looking statements. The company disclaims any duty to update any of these forward-looking statements. All forward-looking statements attributable to the company are expressly qualified in their entirety by these cautionary statements, as well as others made in this conference call. You should evaluate all forward-looking statements made by the company in the context of these risks and uncertainties.  With that, I will now turn the call over to Ezra Beyman, Chairman & Chief Executive Office of Reliance Global Group. Ezra?
Ezra Beyman: Thank you, Ted. Good afternoon, and thanks to everyone for joining us today. We are pleased to announce that our revenue grew 29% for the first quarter of 2023 compared to the same period in 2022, demonstrating the ongoing expansion and strong performance of subsidiaries’ operations. RELI Exchange continues to outperform our forecast with over 250 partner agencies presently on our platform, we attribute the success to the extensive range of business tools provided to independent insurance agents, enabling them to effectively compete with and even surpass the larger national agencies.  During the initial stages of rolling out RELI Exchange, our strategy was centered on recruiting newer, less experienced agency partners to the platform. However, with the platform's evolution and growth, we have shifted our focus to cater to more seasoned agents who possess robust client bases as we continue building out and growing the platform.  Traditionally, most insurance agents, we were bound to a single carrier, and due to the limited product offerings that particular carrier presented, they achieved a close rate of only 10% to 20%. On the RELI exchange platform, we believe they can reach a close rate in excess of 80% due to their ability to offer a wider variety of competitive third-party quotes.  We continually seek to introduce new products that our agency partners can present to their clients. In February, 2023, we integrated a real-time life insurance quotation tool into both our RELI exchange and five-minute insured.com platforms. This tool showcases life insurance quotes from over 15 life insurance companies and expands on the company's successful home and order insurance offerings. The life insurance capabilities provide our RELI exchange agency partners with the necessary technology to properly compare life insurance policies and rates in less than one minute.  This improvement will enhance client communication and speed up policy binding, while adding a valuable new resource to their agency toolbox. The inclusion of the quotation tool on both the B2B and B2C platforms, bolsters the value proposition for each platform.  Additionally, it offers consumers complete transparency regarding the options available to them and the expected pricing. We remain dedicated to our mission of assisting clients in obtaining the appropriate insurance coverage to safeguard what matters most, while guaranteeing they receive the best value for their investment.  The RELI Exchange platform experienced a significant upgrade in February as it implemented a state-of-the-art artificial intelligence engine that autonomously populates 90% of a customer's application, increasing efficiency for agents. Concurrently, a new tailor-made CRM system was rolled out guiding agents through every step of customer engagement, sales, and closing by providing timely smart coaching.  While these AI-based improvements are significant, they are not intended to replace agents' experiences, instead, they enhance them, empower agents to assess a greater number of quotes more quickly and provide a superior customer experience. These upgrades have further reinforced our position as a leading force in the InterTech arena where our commitment to cut engage aid-based technologies has always distinguished us. This latest integration amplifies our stature as an interTech innovator.  In March, we launched RELI University and as an innovative training platform designed for our RELI Exchange Agency partners. The new educational platform is unique in the independent insurance industry. This comprehensive learning resource equips both novice and seasoned agents with an in-depth technology -- I'm sorry, in-depth knowledge of the entire suite of products, services, and tools available via RELI Exchange, keeps them informed regarding the latest carrier and industry and development, and empowers them to grow their business.  RELI University offers an extensive array of resources to optimize the success of our agency partners catering to both experienced insurance agents and those new to the field RELI University is specifically designed to boost the productivity of each agency partner.  Additionally, agents are encouraged to share feedback on improving productivity for their fellow agents, fostering a genuinely cooperative atmosphere. This collaborative spirit is a cornerstone of what we call the RELI Exchange Agency partner community. It is extremely satisfying to watch agency partners help each other so that they can all write more business. Growing to more than 250 RELI Exchange Agency partners in such a short span of time is something that we are very proud of at Reliance Global.  Before I turn the call over to Joel to discuss our financial results for the 2023 first quarter, I would like to highlight that in February, I converted a $645,000 of a $1.8 million company loan that I beneficiary held into shares of RELI Global at a price that was significantly above the closing market price at that time.  The original loan was provided at extremely favorable terms to the company in order to accelerate the growth of RELI Exchange, while protecting the interest of all shareholders by converting a portion of the note at a price significantly above the then market to market price, I further it demonstrated my complete alignment with shareholders and utmost confidence in the bright future ahead for our business.  In conclusion, as previously stated, RELI Exchange has seen a tremendous growth in agency partners since its inception in July of 2022. Attributable to our team's outstanding dedication and steadfast commitment, our business model was both unique and highly scalable, placing us at the forefront of the industry.  We are proud of our strong first quarter results, which demonstrates the success of management's efforts to streamline operations and reduce cost while at the same time growing revenues. It is important to note that our operating agencies on a standalone basis are performing well and operating profitably with healthy margins. We look forward to continuing this trajectory, which we believe will position the company to become cash flow positive by later in the year. I would like now to turn the call over to Joel Markovits, Chief Financial Officer at Reliance Global. So, we will review the financial results for the quarter ended March 31, 2023. Joel?
Joel Markovits: Thank you very much, Ezra, and good afternoon all. Great to be here today. We're excited to present financial results for the company's first quarter in 2023. Note that figures presented are approximates. The company’s revenue for the three months ended March 31, 2023, was $3.9 million. This represents a 29% increase from $3.1 million for the same period in the prior year. Increase is primarily driven by organic growth in the second quarter 2022 acquisition of RELI Exchange. For expenses, commission expense was $1.1 million for the three months ended March 31, 2023, compared to $786,000 for the 2022 comparable period. Salaries and wages totaled $1.7 million for the Q1 '23 period versus $1.6 million in Q1 2022. G&A or general and administrative expense totaled $1.4 million for this quarter, down from $2.3 million for the 2022 comparable period. Marketing and advertising totaled $137,000 in Q1 of 2023 versus $90,000 in Q1 of 2022. Depreciation and amortization was $542,000 for the three months ended March 31, 2023, versus $468,000 for the same period in the prior year. With regards to other income and other expense, we reported $3.9 million of other income for the three months ended March 31, 2023, compared to approximately $7.7 million for the same period in the prior year. Loss is attributable primarily a change in the fair value of warrant liabilities offset by interest expense. Net income or loss for the first quarter of 2023 was a net loss of $1.8 million compared to net income of $9.3 million for the three months ended March 31, 2022. Before we open the call for questions, let's briefly highlight our March 2023 capital raise. Company closed on a securities purchase agreement with a single institutional investor through a private placement selling a mix of shares and warrants and receiving, respectively, gross and net proceeds of $4 million and $3.4 million with terms favorable to the company. Proceeds provide additional liquidity and strengthen the company's balance sheet. With that, we conclude our prepared remarks. Happy to answer any questions or comments, participants may have. Operator, kindly open the lines for conversation.
Operator: Thank you. [Operator Instructions]. First question today is coming from Edward Reily from EF Hutton. Edward, your line is live.
Edward Reily: Hey guys. Nice to hear that you will be cash flow positive later in the year. Just wondering what needs to happen within the business for you to be cash-flow-positive by the end of the year specifically relating to RELI Exchange and the number of partners you expect to have?
Joel Markovits: Yes, I can go first, Ed, and thank you for the question. So, I think it's a mix of cost-cutting measures and efficiencies that we are implementing, as well as growing revenue. As you see with these strong results here in Q1, we plan to continue that in the future. And there's other things in the works that we may not be privy to discuss right now, but we do plan to grow the company in this fiscal year. Regarding RELI Exchange, I could maybe have Ezra to speak a little bit about that. 
Ezra Beyman: Yes, and I think that's important. As we mentioned earlier in my remarks, we're now have a focus on zeroing in on primarily experienced agents. Those agents as opposed to rookies, bring revenue almost immediately, and it really doesn't because our scalability and the platform is being set -- has been set up and it's ready to go. We really do not have much increase in expenses when we increase the revenue coming except for the commissions we pay out. But everything else, the base is set, whether we have 250 agents or 1000, it would not be that much different actually in expenses.  So, as we ramp up and the team and the recruiters are being added and everything else, we've had extensive talks and with the corporate team and it's -- we're all geared up and it does really not take that much to cross the line with adding way before we get to 1000 agents. We should be able to cross the line nicely. 
Edward Reily: Okay, great. And just for modeling purposes, based on the kind of shifting strategy towards more experienced partners, should I maybe expect revenue per agent to increase sequentially throughout the year?
Ezra Beyman : Definitely. That's the whole point. I mean, should be substantially, remember these agents when they're coming, some of them have five, 10, 20 years of business. Some they can take, some not, but the definitely we're talking about a very significant increase in revenue when you talking about experienced agents. 
Edward Reily: Yes. Got it. And then I was wondering if you could maybe talk about the cost-cutting measures and how that might affect partner acquisition within RELI Exchange. 
Joel Markovits : Yes. So, we don't expect it to impact RELI exchange or partner acquisitions. I think there's a very minimal cost. And much of that cost we've already invested, I believe to date. So, I don't think that, that will impact the overall cost-cutting measures that we have planned for the year. 
Ezra Beyman : But as far as the -- we are looking at how we've been sharing certain expenses between different agencies and streamlining a really zeroing in, I will say that Grant, who was a part of our executive team, and he comes with a lot of experience. And that's part of his role also because Michael Doak is mainly running, well I exchange now and Grant has been very instrumental. So, we've already seen some cut, as you could see the efficiencies are -- and there we have other things in mind which is very substantial.  So that combined with some adding of the somewhat more agents, not even tremendous, and adding and talking about the other things that, as Joel said, we couldn't speak about yet. We are looking forward to really crossing the line. God willing, very strongly.
Edward Reily: Okay, great. Thank you, very much.
Operator: [Operator Instructions]. And the next question is coming from Elon Friedman from VKC Funds. Elon your line is live.
Elon Friedman: Thank you. How does the business tools on RELI Exchange help the agents compete with and even outperform larger national agencies? 
Ezra Beyman: I'm sorry, I wasn't clear the last part of your question. One more time.
Elon Friedman: How do the business tools on RELI exchange help the agents compete with and even outperform larger national agencies? 
Ezra Beyman: Okay. Actually, I have [indiscernible] here was very involved in RELI exchange on a daily basis. He's going to be answering you. 
Joel Markovits: Thank you for that question. That's a very common question to ask. The national agencies, when we're dealing with a captive carrier, which is only selling one product, is really catering to a different client than the independent agent that we are. We're coming to the table with tens of options for one client. So, it's not much of a competition in that regard. People are not married to a particular carrier. They're looking for value that's agents providing at a competitive price. 
Ezra Beyman: I've always said that no one really gets emotionally attached to their insurance policy if they're giving basically the same coverage. And we're competitive. And in some cases, we've seen extreme competitiveness, saving people 60%. In some cases, it doesn't take much to make the sale, but when they can only sell like from whatever it is -- that particular carrier, they're much more limited. So, we've seen good success with that. 
Elon Friedman: Thank you. And one last question. Can you elaborate on your decision to convert 645,000 of a $1.8 million company -- to share into shares of Reliance Global? 
Joel Markovits: I guess you could say it's pretty straightforward that I was -- I have confidence in the company, anyone who knows my private world before becoming public, we've done a lot of big successful things and I have confidence in the company and I mean that's besides the 5$ million that I invested into the company by the way. So, I show a lot of confidence. I don't think we can just a typical NASDAQ company that comes to the street and I'm milks the street. We didn't do that. I've been put my money, my mouth is, I don't take a big salary. None of my executives do. We're all very committed to the growth and I think, I guess the very simple cliché [ph], and it's true here, I put my money where my mouth is --
Operator: Thank you. There were no other questions in the queue at this time. I would now like to hand the call back to the management team for closing remarks.
Joel Markovits: Thank you very much. On behalf of Edra and the entire Reliance team, we appreciate you joining us for this business update and first quarter 2023 financial results conference call. We have much enthusiasm for the company's future and growth potential. We look forward to staying in touch and keeping you informed that new developments informed. Thank you. Have a great rest of the day. 
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time and have a wonderful day. Thank you for your participation.